Operator: Hello, everyone. Thanks for taking the time to connect to our Third Quarter 2023 Results Conference Call. This event is being recorded. Our speakers today will be our CEO, Mauricio Ramos; and our CFO, Sheldon Bruha; and our President and COO, Maxime Lombardini. And following their prepared remarks, we will have a Q&A session. By now, you should have received a copy of our earnings release, which is available on our website, along with the slides that we will be referencing during today's presentation. Now if you please turn to Slide 2, you can see our Safe Harbor disclosure. We will be making forward-looking statements, which involve risks and uncertainties and could have a material impact on our results. We will also be referring to many non-IFRS metrics throughout this presentation. And we define these metrics on Slide 3, where you can also find reconciliation tables in the back of our earnings release and on our website. With those disclaimers out of the way, let me turn the call over to our CEO, Mauricio Ramos.
Mauricio Ramos: Good morning, and good afternoon, everyone. Thank you for joining us today. As usual, I will go over the highlights of the quarter and Sheldon will discuss the financials. And finally, Maxime, our new President and COO will say a few words before we take your questions. Let's start on Slide 5 with a recap of our four key priorities for 2023 and our progress to-date. We'll go into more detail on each of these points in the next several slides. But here are the key highlights. First, the beginning of the year, we set out to dramatically improve the profitability of our operation in Colombia. By simplifying the business by bringing increased discipline on capital allocation, and around pricing for our services. You can see the results of these efforts starting to pay off in this third quarter. Our quarter in Colombia had very strongly EBITDA and OCF growth. And we're not done yet. We have now agreed with our partner to inject additional equity capital into the business in Colombia. So, we can focus now on executing on the rest of the plan, which includes continued mobile growth, further cost discipline and as you know, some much needed in organic solution. Second in Guatemala, we are creating the conditions for a healthy and very sustainable long-term industry structure. In the last six months, we took part in two transparent and successful spectrum auctions in, which both players were able to acquire all of the spectrum that was offered by the government. These were the country's two first auctions in more than 15 years. As a result, both competitor's now similar and much larger amounts of spectrum within the conditions are now set to return to a more rational pricing environment. Third, we continue to improve our operational efficiency across the business more than ever before. Or simplifying product offerings and operations where digitalizing processes, we are reducing headcount, and we are automating platforms, and across the board, we're driving new opportunities to further reduce costs and increase cash flow. During Q3, we began to implement phase two of our project Everest, which we spoke about last quarter. We expect this phase two to significantly increase the overall savings we can expect from project Everest overall. Both and finally we have continued to make great progress towards carving out Lati our tower portfolio. Earlier this month, we began transferring assets to the new legal entities, we're now preparing to launch the monetization process. So let's review each of these points in more detail beginning with Colombia on Slide 6. Most of you know by now, our mobile business has been growing rapidly since we acquired critical spectrum in the 700 megahertz band in 2020. Back then, we embarked on a multiyear plan to expand our mobile network and to extend the reach of our commercial distribution. Since then, we have steadily gained market share, especially in the postpaid segment, but we have doubled our customer base since acquiring the spectrum. The shift in mixed was postpaid has been lifting ARPU and driving mobile service revenues, which increased 8% this Q3, the scale we're gaining in our mobile business combined with efficiencies from project Everest drove EBITDA margin to a record this quarter as you can see on the middle chart. EBITDA grew almost 10% in the quarter, and by close to 20% if we exclude the one-offs. We expect the phase 2 of Everest will drive further margin expansion going forward. And we are converting that EBITDA growth into operating cash flow growth, as you can see on the chart on the right. OCF in Colombia is also benefiting from lower levels of capital investment in our own business. This is largely, because we're choosing to remain disciplined on price. We're charging installation fees and implementing price increases and staying the course even when competitors don't follow. And even if this means sacrificing subscriber volume for gaining profitability. As I've told you many times a significant portion of our CapEx is variable in nature is directly linked to the number of new customers we signed up, given the high costs of equipment that we installed in their homes. So with higher prices, we're selling less, but we're also investing less and [attaining] a better return on capital. Going forward, we expect that our Colombia operation can continue to sustain lower levels of capital intensity than in the past for two reasons. One because our 700 megahertz network deployment is now largely complete, until this is a very material synergies we expect from the combination of our mobile network and spectrum with those of Telefonica. As you may have seen, this transaction has now received regulatory approval just a couple of weeks ago. Finally, as you may have heard, we recently agreed with a partner to each invest approximately $75 million of equity into our Colombia operation. Despite all the noise that you may have heard on this topic, this equity injection had been planned for quite some time. And its key purpose is to provide long-term funding for all the long-term investments that we have made in the business over the past several years. There's tons and tons of work to still do in Colombia, no doubt, but we made real good, good progress this quarter. Now, please turn to Slide 7 to look at Guatemala. As you know, competition has been intense in the prepaid mobile market since the end of the pandemic in Guatemala. As you also know, we took a variety of important strategic steps to shield our customer base and strengthen our market leadership, that remains convinced that this is the right strategy to preserve and grow the long-term value of our business. And we see signs already that this strategy is beginning to payoff. The chart on the left shows evolution of our mobile customer base and market share in Guatemala over the last four years. As you can see, we've picked up quite a bit of market share, during the pandemic. We've been able to hold on to these gains and to our customer base, even as our competitor began offering access to the most popular social media apps for free to prepaid customers. No doubt defending our customer base, which is definitely the right thing to do for the long run has had an impact on ARPU, service revenue and overall profitability of the business. You can see these on the chart on the right showing the evolution of our total service revenue growth in Guatemala over the last several quarters. Yet, two important and positive events are relevant in the last few months in Guatemala. One after two consecutive spectrum auctions, spectrum positions in the marketplace have been increased and stabilized. We no longer have a spectrum deficiency, or a spectrum disadvantage in Guatemala. This has an important positive effect on our network efficiency and costs, as well as on our service and product offerings. And two, we took some price increases in prepaid in mid-September. As a result the revenue growth remained negative in Q3, there were clear signs of stabilization, compared to Q2, and we're encouraged by the trends we saw during the quarter. It's too early to tell whether this price increase will stick for the long run. But we are encouraged by the response at our points of sales and we're optimistic. And we do see the makings of a healthier industry structure in the making in Guatemala as we had anticipated earlier. We want to remain cautious on the commercial outlook, and also flagged that there have been some mass protests on the streets of Guatemala, since the presidential elections a couple of months ago. And this may carry on until, the new President, takes office in January. So we remain cautiously optimistic in Guatemala. Now, let's go to Slide 8 to discuss project Everest. Because many of you will recall, we began implementing our efficiency program earlier this year, and we communicated an ambition of achieving run rate savings for more than $100 million by year end 2024. We are on track to achieve those savings. In addition, early in the summer, we began working on phase 2 of the program, as we mentioned on our Q2 call. Indeed in September, we began implementing important headcount reductions and new cost saving initiatives. Starting with our centralized functions, we expect this first phase of phase 2 to produce approximately $35 million in additional savings on top of the initial $100 million target. We also expect to finalize the scoping for the full phase 2, along with our annual budget plan. So our ambition is actually much broader that we have already identified very meaningful opportunities that we expect to implement mostly before year end. Sheldon will give you additional details about the cost in the program in a minute. On Slide 9, that should be your progress on Lati. Lati is already a separate company and a separate brand. New legal entities have now been created in every country. Earlier this month, we started transferring our assets from Tigo to Lati, and we expect to complete this process in November. This means that we're ready now to launch process to monetize this important infrastructure asset in Q4. Yes, some time is coming up soon. As we have said in the past, we have certain preferences on the transaction that we envision with best maximize value. But as we have also said, we kind of keep all our options open until we can evaluate and compare the options that are brought to the table. So stay tuned opening date is indeed coming soon. With that, I will hand over to Sheldon to discuss the financials for the quarter.
Sheldon Bruha: Thank you, Mauricio. Before we review the financials let me quickly recap the macro context on Slide 11. As you can see on the slide, inflation across most of our markets has followed closely the trend we've seen in the U.S. with inflation back to a more reasonable level of around 4%, with the exception of Colombia, where inflation is still in the double-digits. The good news though, is that the Colombian peso was strengthened significantly this year. And in fact, you will see that FX with a small tailwind for us during Q3. And in terms of economic activity, our markets are generally proving quite resilient with some countries like Panama and Paraguay expected to grow real GDP in the range of 4% to 5% this year. Now, let's look at our Q3 performance beginning on Slide 12. Service revenue was $1.32 billion in the quarter, which is up 3.2% on a reported basis from $1.28 billion a year ago. For the first time more than a year, our service revenue has benefited from favorable FX trends this quarter, primarily due to the Colombian peso, as I just mentioned, excluded the impact of FX organic growth was 1.8% in the third quarter, very similar to the growth we reported in Q2. Our mobile business continues to perform well and accounted for nearly all of the growth in the quarter. Meanwhile, our fixed businesses were flat and this is consistent with our broader capital allocation strategy over the past year, as I'll discuss later. Drilling down further on Slide 13, to the service revenue by country. As you can see, most of the countries experienced positive service revenue growth in the quarter. The two exceptions were Guatemala, which Mauricio already discussed, and Bolivia, which was down less than 1% in Q3. This is a significant improvement for Bolivia compared to last quarter. And we've begun to lap the regulatory changes that have impacted results since August of 2022. Our mobile business had positive growth in the quarter and the declines coming from our home business where we are choosing to be very disciplined on price, to drive better cash flow from this market, given the more volatile macro backdrop in this country. Colombia and Panama had low single-digit growth. And this is largely the result of our commercial capital allocation decisions to focus on mobile in these countries. On the positive side, we had solid mid-single-digit growth in the four countries on the bottom part of this page, but all three business units contributing to growth in these countries. Okay, turning to Slide 14, EBITDA of $533 million was down 1.2% from $539 million from a year earlier. This is a cleaner quarter than first half of the year. But there are still a few items to unpick here to provide a fuller picture of the performance. First ForEx, from nation Colombia provided a small tailwind of about $4 million this quarter. Second, we had two large one-offs. The first was $22 million for severance related to project Everest, which I'll talk about later. The second one was for $11 million, and was the result of an adverse legal ruling in Colombia. Excluding effects and these one-offs in this quarter as well as another in Q3 of last year. EBITDA would have grown 2.6% during the quarter with positive growth in most countries as you can see on Slide 15. On this page, you can see that EBITDA tells a similar story as our service revenue growth with positive growth everywhere except Guatemala and Bolivia. As Mauricio discussed previously, we are seeing some signs of stabilization in Guatemala. EBITDA declined 3% year-over-year, but it has been stable at $199 million for the third consecutive quarter. Bolivia was down 2.2%. This is a big improvement from the last three quarters as we've begun to lap the regulatory change that went into effect in August of last year. And we've seen improvement in our mobile business there. On the positive side, Colombia stood out with EBITDA growth of 9.1% and almost 20%, excluding the legal one-offs. As Mauricio mentioned already, our margins have been expanding over the past few years. And we think there is still more upside here. Thanks to project Everest and other initiatives that we have been implementing in order to drive better profitability and cash flow from our business in this country. Panama grew 2% which is consistent with the 1.4% service revenue growth we saw in the quarter. Remember also that we have made investments in our sports content offering that hurt our EBITDA growth this year. But that investment strengthens our home business and help us maintain our leading market share in this business. You will also notice a lower margin in the quarter and this is due to higher equipment sales related to the large B2B contract that we expect will start generating service revenue beginning in Q4. Paraguay had impressive EBITDA growth of 8.1% and it was 11.6% excluding the Everest related severance. The strong performance is consistent with the strong service revenue growth we're seeing. In El Salvador, EBITDA growth of 16.1% benefited from a lower than usual level of bad debt that flattered performance this quarter. On a year-to-date basis, EBITDA is up just under 7%, which is more consistent with the mid-single-digit service revenue growth in that country. Nicaragua, EBITDA grew 3.6% as our business and the broader economy continued to grow despite the volatile political environment, and that is largely thanks to remittances to the United States, which continue to grow very rapidly. Finally, Honduras, which we do not consolidate had another strong quarter with growth of 7.9%, reflecting the improved revenue trends during the quarter. Now, please turn to Slide 16, to review our efficiency program project Everest. Mauricio already gave you the highlights, but I want to help unpack the various puts and takes. In terms of savings, we're accelerating our plans. For phase 1, we remain on track to deliver more than $100 million by year end 2024 and are in fact accelerating our plans. On a run rate basis, we now expect to achieve more than 75% of the savings by end of 2023. This is up from our previous estimate of more than 50%. As Mauricio told you, we have decided to significantly expand the scope of the project, which we refer to as phase 2. During the quarter, we incurred $22 million of implementation costs $90 million of this was related to new actions and initiatives we took that were concentrated in our headquarters and other centrally managed and shared service activities, including approximately 30% of our Miami-based population. This will result in additional run rate savings of approximately $35 million above and beyond the phase 1 savings of $100 million. In total, since the beginning of this year, we will have reduced our Miami-based population by approximately 40% through a number of separate restructuring decisions. Over the next several weeks, we will be finalizing our 2024 budget, and we expect to take additional measures across all our geographies as part of that process, where we expect additional service charges to drive additional savings for the business. We'll provide a further information at our full year results in February. Now please turn to Slide 17. In addition to organizational savings, we've also had significant savings and capital expenditures this year. Through the first nine months, our CapEx spend is about $150 million lower than prior year. I mentioned in prior calls the source of these savings, which is a combination of three key components of roughly equal size. Firstly, earlier this year, we conducted three-year renewals with our largest mobile vendors, where we received multiyear discounts. As you can see on the left hand side of this chart, our level of mobile build activity has remained constant, while we are also able to absorb the impact of activating the new 700 and 2600 megahertz spectrum we obtained in Guatemala. Secondly, we've reduced our home footprint expansion in light of tougher competitive and macro environments in Colombia and Bolivia in particular. And lastly, home installations are down again, primarily in Colombia and Bolivia as we are being more disciplined in pricing and promotions, given the more challenging environments there. On top of this, we continue to scrutinize all other CapEx spending and are finding other opportunities to lower spend and contribute to this year on your savings. Now please turn to Slide 18, for our usual net debt bridge. Net debt declined $74 million in the quarter to just over $6 billion. Net debt to EBITDA after leases was 3.32 times that's down from 3.34 times at Q2, if we include lease obligations of just over $1 billion. Our leverage was 3.34 times. The decline of net debt during the quarter was primarily due to strong equity free cash flow of $100 million, which was partially offset by the ForEx impact from the translation of local currency debt as the Colombian peso strengthened this quarter. Regarding our equity free cash flow, I remind you there is a lot of seasonality here. Q1 is usually negative, and then we see improving trends throughout the year. The strong cash flow in Q3 reflects typical seasonal patterns, as well as some of the benefits of project Everest, and of our capital allocation decisions over the past year. Looking ahead to Q4, which is usually the strongest quarter of the year for equity free cash flow, I want to caution you that this year should be a bit different. This is, because we're expecting more than $100 million of spectrum payments in Q4. This is for the renewal of the 1900 megahertz spectrum in Colombia, and the acquisition of the new spectrum of 700 megahertz band in Guatemala. Items that we flagged for you when we revised our equity free cash flow targets in June. Also in Q4, we have to pay a lot of the severance that we booked in Q3 and that we expect to book in Q4. Let me hand the call over to Maxime, who's joining us for the first time on this earnings call.
Maxime Lombardini: Thank you, Sheldon. It is my pleasure to be here today. As you may know, I joined the company on the 1st of September, so little less than two months ago. And this time of year, the company begins planning the budget for next year. And this has given me the perfect opportunity to interact with each of the country teams and with the leadership teams in Miami and Luxembourg. I have also had the opportunity to travel in our three biggest country of operations, Guatemala, Colombia and Panama, and I have more visits than before year end. As you can imagine, I'm still learning about the company. But today, I can share some of my first impressions on my priorities. Firstly, TIGO is an incredible company with a strong brand and market leadership position, run by a talented team, a team with a strong culture, and can do attitude, ready to take on any challenge when the target is clear. But we do business in countries with volatile macroeconomic and political environments, but we do not generate enough cash. This means that we must derisk the company by operating efficiently and with lower leverage. And we must ensure that the business can generate much higher equity free cash flow every year. With that in mind, one of my first priorities has been to significantly expand the push on costs. We started immediately in September by decreasing drastically, [HQ] costs in Miami. And currently, as part of the budget process, I am challenging each country team on the costs and CapEx. On a day-to-day basis, I am personally reviewing each purchase order and every dollar that we spend. So short-term, a strong focused on cost control is the clear priority. And as we strive to deliver on the free cash flow target that we are iterating today. I will be equally focused on making sure that we capture the long-term revenue growth opportunity with the right investments that are necessary to provide the excellent experience that your customers have come to expect. And we'll report back to you next quarter on our progress with more details.
Operator: Thank you Maxime. With that we're going to now go into the Q&A session. As a reminder, if you'd like to ask a question, please email us at investors@millicom.com. We'll take the first question from Oscar Ronnkvist from ABG. Oscar, the line is yours.
Oscar Ronnkvist: Thank you. And good morning, even though it's in the middle of the day for me in Stockholm so just two questions. That's okay, please, just first one on Guatemala, you say that the signs of improvement, or an improving market is visible? So how should we think about timing? Your main at around 1% to 2% decline in service revenue like last few quarters? So just wanted to get a sense of if you should see that delta improving already in Q4 or if you expect us to take a bit longer. My second question is just on CapEx. I think you have been around $180 million each quarter for the last three months. And you say that, I mean, you're holding back a bit on home, right? And then also you're looking at efficiency. So just the $180 million figure over the last three quarters. I guess that that's a bit low maybe on the sort of run rate on an annualized basis. Just if you could elaborate on the timing or any quantification of the new run rate please? Thank you.
Mauricio Ramos: All right. Hello, Oscar and welcome. Thanks for joining us today. I'll take the first one on Guate, timing et cetera and the market and I'll give Sheldon a little bit of time to prepare some numbers for you on the CapEx question. On Guate I think we've played it really, really well. And the timing, which is the core of your question is happening, pretty much than we expected it would happen. And with that I'll give you some color. As you'll recall, over the last year or so, we've faced a tremendous amount of competitive pressure on prepaid. We set out to basically hold our market share position, a very strong market share position, and we've been able to do that not without some pain on the revenue for sure, but certainly holding on to our market share and our subscriber base. And we did that knowing that we could and we would revamp - re-stabilize both the spectrum position and the network position. And we have done that that was the long game. That was the long strategy that we were playing. And over the course of the quarters this year, we have seen that play out two consecutive spectrum auctions, we no longer have any network disadvantage. We no longer have any services advantage, we no longer have any spectrum disadvantage. So quite frankly, we're playing the long game. And it has worked out as we expected it would. Subsequently to that, we took a price increase on prepaid to a percentage of the prepaid base in need to [learn] September, so you actually see it in the quarterly numbers yet. But as we move forward, this was a timing that we were expecting strong network positions, strong spectrum position, so that we could now focus on the commercial actions. So far as I said, we are cautiously optimistic, cannot guarantee ever and ever guarantee that price increases will stick. But we're certainly playing a cautious well played in game here. So the answer to your question is this, things have been playing out as we expected, it would and we wanted to play them out. We're also just mathematically laughing pretty much the initial effects of the push on competition. But we are playing the long game here, Oscar. And that's why we use the team cautiously optimistic, things are better in the market or rational in the market, as they are compared to what they were before. But we're playing the long game. And we're playing a very strategic game here. So, we're cautiously optimistic. Going into Q4, just to manage your expectations. Remember, we had a very good Q4 last year, because of the World Cup that we had. So, we're not going to have that this year. So again, long-term mean you know, Q4 will have some difficult comps vis-à-vis the World Cup. Did I miss anything guys?
Sheldon Bruha: I think Oscar, we should also just flag that there's been some significant protests in the street in Guatemala these last several weeks since the presidential election. So that has created a little bit of a disruption in terms of economic activity. But new President takes office in early January. So that could continue for some time. But it's still a little too early to know what kind of impacts that might have.
Mauricio Ramos: Yes, Guatemala has a very lengthy timeframe in between elections and actual handover is over six months. So that's created a little bit of political turmoil there. So come January, hopefully, that things will be on the quiet side politically.
Oscar Ronnkvist: That's it.
Sheldon Bruha: Okay. On the CapEx question you had, look, I mentioned a lot and in the presentation around what was driving some of the reductions in CapEx this year, I mean, really, around really around, basically, you know, majority of CapEx decline really related to markets, Colombia and Bolivia, where we I think it's absolutely appropriate some steps were taken in terms of discipline around our home spend, given the situations in both those countries. But look and - going forward. I would say, you would have heard kind of in Maxime's comments. In addition to the things that's been happening this year, we are being very disciplined, and since scrutinizing sort of CapEx spend across the business. I would not expect CapEx spends to be higher than what you're seeing, right now, as we go into 2024. I would expect us to be - you'd be [suddenly] lower than those levels on a going forward basis. So that's how dressing sort of where we see the trending is going it's, levels lower than what you're seeing currently.
Oscar Ronnkvist: Understood. Thank you very much.
Mauricio Ramos: Thank you, Oscar.
Operator: Okay. Next, we're going to go to Phani Kanumuri from HSBC. Phani, the line is yours.
Phani Kanumuri: Yes. Thanks, everyone, for taking my questions. My first question is on Colombia. I seem to have had a good margin [exhibition] this quarter. How sustainable is the margin equation? And once you complete project Everest, they do expect the margins to print in Colombia. And again, the second question is again, Colombia. You had a recent equity infusion into Colombia. Do you see any potential equity infusions in 2024, or 2025 in Colombia?
Mauricio Ramos: I'll take the first one and perhaps a little bit of the second one and as always give Sheldon a little bit of time to get the numbers right. So the things Phani that have been driving our record margins in Colombia this quarter are a combination of activities. First, as you recall, was a ton of network investment and commercial expansion. That happened in the years prior. Right after we had bought 700 megahertz spectrum that's behind us. So, now we are more on the efficiency phase of those network investments or commercial expansions. The second element is, as you know, mobile is a game of scale, and we have been gaining scale particularly postpaid in Colombia. So obviously, that helps the margin on a fixed cost base business. The third element in Colombia is project Everest, phase 1 of project Everest, which we started early on this year. And as which we'll be talking, there's a phase 2 that will help contain sustainability on that margin expansion going forward. The fourth element is that there's been I'll use these words with a degree of cautiousness more price rationality in the market in the last few quarters. And particularly, we've been able to sustain or drive, our service revenue and postpaid both on the volume and on our phones as well. And also, we've been very, very disciplined on the home businesses. We are not [playing] during the call, keeping prices up, [charging] installation and if need be sacrificing volume over profitability. And that's what you'll see in the results. Going forward, profitability will also be enhanced by mobile network, and then spectrum contribution agreement that we talked about in the prior quarter, and this quarter. And all of this combined, lead to the one single focus that we have in Colombia, which is to make Colombia equity free cash flow policy. As you recall, me saying a number of times, it's the only operation in the portfolio, that has not been equity, free cash flow, and our drive has been to make up this as equity free cash flow. And I'll tell you - the risk of not giving you specifics, that we're really focused on making that happen as soon as possible. And that gives you an idea as to why we're driving hard with the expectation of not having any additional equity contribution going forward. And with that, I'll hand it over to Sheldon.
Sheldon Bruha: Mauricio, you really hit the key points. And I think EBITDA that particular and EBITDA margins are important metrics to be tracking, but most importantly, and more importantly, it's the equity free cash flow performance, we're trying to drive out of that business and getting that business to equity, free cash flow, breakeven, first initially and ultimately, equity free cash flow positive. And of course, that once that's achieved, that's going to start to address your second part of question that will more capital be needed from the shareholders? I mean, the answer would be no, once we get to that business, the equity free cash flow positive. So that's where the focus is. Look, I think we're going to make a lot of progress on that in 2024. In terms of achieving that objective, and - that's kind of where the focus is right now for that business.
Phani Kanumuri: So in the base case scenario, vendor is expect to achieve a kind of breakeven at least a broad timeline for Colombia?
Mauricio Ramos: There's this thing that happens on a yearly basis called the budget, right? That's all I'll say. That's a normal answer Phani.
Sheldon Bruha: As soon as we possibly can, there's nothing. You can just imagine how focused we are on this factory, right? As soon as we can. We've done everything in Colombia. Again, back to the Guatemala question stable. This is the game we're playing with a single objective, which is to get Colombia record cash flow positive as soon as possible. And just about every action has been driven in that direction. We put Everest phase 1 early on in Colombia in this year, we're obviously focused on Colombia for phase 2 of Everest and all you can take away from without forcing us into specifics on guidance is that we're very focused on making Colombia equity free cash flow.
Phani Kanumuri: Okay, sure. Thanks a lot for that.
Operator: Thank you, Phani. All right. Next, we're going to Marcelo Santos from JPMorgan.
Marcelo Santos: Hi. Hello. Good morning. Thanks for taking my questions. The first question is just if you had any update on to [money] strategic alternatives. So you disclose that in the Investor Day so we just wanted to know how this is going. And the second question is actually for Maxime. You mentioned that you're waiting for the right investments to capture long-term revenue growth opportunities. Could you expand a bit on what do you see as the main long-term revenue growth opportunities. If you could give some cover would be great.
Mauricio Ramos: All right, I'll take the first one and give Maxime a little bit of time to prepare a couple of brilliant ideas there for sure. So listen on Tigo money, we continue to grow the business quite positively, geographically, as you may recall, we're very strong in Paraguay, very strong in Bolivia. We've we launched this year in Guatemala, Tigo money existed in Guatemala, but it didn't have the full suite of products in there. So, we launched in Guatemala. We've also attained licenses and launched in Panama. And we're happy with the progress that we're making and operationally. Our second area of focus is making sure that we complete the delivery and implementation of - the full suite of the service offering. So that Wallet [application], but also continue to visit merchant community, and also begin piloting, which successfully delivery in Bolivia and also in Guatemala. And we continue to find very important ways of meeting the telecom business worked really closely with the fintech business, in the eyes of the consumer, which we think is a win-win for everybody. And we're also now beyond this investment phase that we put for the last couple of years very focused and going back to our Haskell instances for 2024 or making sure that Tigo money is with all of these investments and launches behind it all of the [indiscernible] breakeven. We're very happy with that result which leaves us then with plenty of flexibility to then figure out in these very difficult fintech markets, Marcelo? When is the best time to maximize? And how is the best time to maximize as the value of that asset? And that is the punchline to your question. And Maxime, show time for you.
Maxime Lombardini: Thank you. Good morning and good afternoon. Thank you, Marcelo for your question. I joined the company something like seven weeks ago. So it's a bit early to describe a full strategy for the future. I wanted to say with a few words about the future, is that the future of a company cannot be only on cost cutting, cost cutting today are to needs to be back to cash generation, but that's not the sole project for the company. So, we are working a lot also on CapEx optimization, meaning wealth we invest properly in mobile densification coverage, and more importantly, probably where to invest and what to do on home, where you know, the machine are a bit [stretched]. So those, I would say, we probably come a little bit more next quarter, but today, it's a bit, it's a bit too early. And then there are many, many other options within each one of the other geography where are the home business as you can see, there are many networks other building and probably intelligent solution that could be worked on.
Marcelo Santos: Wonderful. Thank you very much for the answers.
Operator: Thank you, Marcelo. So next we're going to go to a Stefan Gauffin of DNB Markets. Stefan, you're on mute, I believe.
Stefan Gauffin: So can you hear me now?
Mauricio Ramos: Oh, yes.
Stefan Gauffin: Yes. Great. So a couple of questions. First on the network, JV with Telefonica in Colombia. If you can somehow quantify what kind of savings you could get from that on both OpEx and CapEx and when those can materialize. And secondly, question for Maxime. You mentioned in your remarks that given volatility in these markets, you believe the leverage is a bit high, which I think all of us agree to. But now given these strategic initiatives with the sale of Lati, et cetera. So my question is, where, would you see leverage to go to be comfortable, if it's totally preferred to paydown debt rather than have some sort of shareholder remuneration from sale of that et cetera? Thank you.
Mauricio Ramos: Hi Stefan, good to see you. As always you to great questions, I'll take the first one on the network JV briefly. And then I'll hand over the second one if it's okay to deal to our CFO, Sheldon. So that he can provide you with a full institutional, I got to do this in my role as I could see your smile as Interim Chair, so that we provide you with a full institutional view on leverage from the Board. On the network JV, I think the two key areas without our ability to give you specific details, obviously, there is the OpEx and CapEx savings or branding a single network, right, that's the nature of a network JV on mobile. And in addition to that, there is the synergies of running a single pool of spectrum. And this is important, particularly in Colombia, because the cost of spectrum in Colombia is significantly higher than in most other regions. So the ability to run not only a single network from the CapEx and OpEx side, so also in full your network is an important part of the savings from that JV. And on the question of leverage, you will be happily reassured that we have coincidence on our targets, institutionally. Sheldon?
Sheldon Bruha: Sure on average, I think, again, I'm very consistent what we said before Stefan on this point in our intermediate target remains two and a half times EBITDA. We haven't made any progress towards that objective this year, for a variety of reasons, some of them are in our control, some that, even the work, but we've got several one offs, this period, things that unusual items, but also things that we're doing and driving the business around the severance costs. Look, we see us making a lot of progress next year on this leverage, on this leverage reduction I mean, next year is going to be a big year for us for cash flow generation, and we say that is going to be the highest of the three years in our three year targets, in terms of what we're going to be delivering. It's also going to be sort of cleaner of a lot of the one-off charges we've been taking, particularly this year, with regard to the severance charges. I will point out, we're expecting, I think you've heard in my prepared remarks more severance charges in Q4, as we complete the budgeting processes and go to the country. So, there will be sizable charges again, which [tremendous] will be accruing in 2024. And currently this year, there's kind of a lot of unusual in this a little bit around FX, that's also, you know, ticked our leverage up a bit higher. In particular, Colombia has appreciated from a currency standpoint, now, a lot of that appreciations happened more recently. And so, in terms of the benefit on EBITDA, that hasn't really slowed through LTM EBITDA last 12 months EBITDA, but it has hit us pretty quickly on market-to-market, the Colombian debts what I'm on a higher basis, on the debt situation. So that should roll off, assuming that trends kind of remain constant on the currency that should also benefit us into 2024. So, we're going to be making progress on the deleveraging. Certainly, in 2024. We told you on a previous call that, we expect to get to that two and a half times level, and by 2026, one year later than the previous given some of the adjustments, we've made our equity free cash flow. But look, as we're going to make a lot of progress on that, and really see me in full progress in 2024. As it pertains to Lati in short - I think they I think we're going to kind of hold off and sort of talking about proceeds in Lati until we have proceeds from Lati, right, so that we're launching a process and we'll have to see how that process, evolves in terms of in terms of what we were able to achieve. And then we'll assess the situation at that point in time and think in terms of what the best way to allocate those proceeds.
Stefan Gauffin: Yes, yes. Agree. Better to wait until they're very soft before we sell the skin.
Sheldon Bruha: That sounds like the standard way of saying is their priority remains to [reduce average]. That's the short answer.
Operator: So thank you, Stefan. So next we'll go to Eduardo Nieto of JPMorgan. Eduardo?
Eduardo Nieto: Yes, thank you guys. So part of my question was already answered, but wanted to follow-up on the capital allocation strategies. Moody's recently put you on a negative watch, basically, because of Chinese in Colombia, but also because of high leverage and governance concerns potentially having more aggressive financial policies. You partly addressed that, but curious on what your plan is to address those concerns about the downgrade. And my second question would be in Colombia. In terms of the 5G option, obviously, I'm just curious about how you will translate the EBITDA performance into cash flows and how you expect spectrum costs and all those items to behave going forward. If you see any other opportunities, we talked about inorganic solutions, securities, if you can give any more color on that?
Mauricio Ramos: Yes, listen on the part in light of that that has a little bit of a noise on Colombia, as you very well know, there was just a lot of noise there. But the reality is we came out of that process, with a well-capitalized business, a business that has expanding margins, revenue growth, OCF growth, and has, as we discussed earlier, a significant focus on driving the business towards being equity free cash flow positive as soon as we can. So, I think there was a lot of noise there. But the reality is the business in Colombia is improving significantly, at all levels, including a strategic optionality going forward. And as that relates to the group, but we discussed, and I'll hand it over the Sheldon for additional. Our focus remains on cash flow generation next year, as we have said, a number of times, and we'll repeat that today. We think 2024 is the year of our cash flow. And with that, I think we will reiterate our focus on use of average and this [number] of times. By GM, Colombia, we're reviewing the terms they just came up last night, obviously, we've been very involved in the process, we understand a lot of it. But I rather you know, answer that question, once we have full information on exactly what the details of that, it's an ongoing process and those processes do tend to move around and shift around as they are being finalized with the authorities. Sheldon anything?
Sheldon Bruha: Well, our next question would add, I think in terms of terms of the Moody's still, concerns that they're highlighted, I think are the exact items that we probably have as our four priorities in terms of what we're addressing as a company. So, we need to deliver stronger cash flow, we believe next year, and [shelter] deleveraging, we believe next year is going to be a big year for us on that front. And I go a long way towards addressing a lot of things that you guys have been highlighting to us at Moody's has been highlighting to us. So I think we've kind of highlighted exactly where, what we expect, we expect from a cash flow perspective and deleveraging perspective. And I think now we just need to deliver on that and to address those issues.
Eduardo Nieto: Understood. Thank you very much.
Operator: Thank you, Eduardo. And next up, I think we have [Andre Salas from UBS] on the line. Andre, are you there?
Unidentified Analyst: Yes. Yes, everyone. Sorry about my camera there is being technical difficulties to make it work. Sorry. So hi, everyone. First of all, thanks for the presentation. And for taking my question here. Actually, I have two on my end. The first one is more like on a cash flow basis with soft one contribution year of working capital to free cash flow this quarter. Could you please give us a little more color on that what has driven this positive impact in this, we should expect the same trend to go in the following quarters. And the second. The second question is regarding a broad timeline year in Guatemala business. So when we expect that the improved spectral capabilities that you now have, which translates into better efficiency, and if it could mean investments here in the country in the upcoming quarters. There'll be [optimist]? Thank you.
Mauricio Ramos: I'll be brief on number two, and give Sheldon a little time to look up the numbers in detail. We've been working as I said, for the long run, long game as I described, I'm not ready for question on Guatemala. So we were readying up the network and getting ready for the great news of the new spectrum pretty quickly. So a lot of that has been done. And as a result of that, we have started subsequent commercial activities, as I said on September the 18th. So now really, it comes down to the marketplace Andre and standardization of the commercial activities in the marketplace. And as I eluded also some of the political last few weeks issues also the satellites. So it's less of a network and it's an information or more like commercial standardization now going forward. And as I said earlier, we took out prepaid price increase. We're optimistic about it, and commercially we're cautiously optimistic us to follow through on that one. Sheldon?
Sheldon Bruha: Sure. On the equity free cash flow performance for this quarter. I mean, look, I mean, you highlighted working capital. I mean I would highlight, I think strong performance across the board. I mean, OCF was a big contributor to us this quarter, in terms of driving equity, free cash flow. Taxes, I think was a contributor for us in terms of driving equity, free cash flow this quarter. Interest costs actually was not, as we've been talking just some of the higher interest rate environment that some of our countries. Working capital contributed as well. But to some degree, a couple items I would highlight there for you, though, we took we took our severance provisions, here about $22 million, this quarter, that's going to be paid in future quarters. Right. So that's probably that's one of the contributors to working capital benefit, the same on this legal provision we took in Colombia that was cashed out these periods. So that was also a contributor to working capital, we did have a large B2B project in Panama, that we were - that benefited us a bit on working capital, sort of, the timing sort of payments received versus payments going out to some subcontractors, and some of the equipment providers who are providing some of the information or some of the aspects of that project. So that benefit us a little bit as well on working capital. Those are probably the key items I would highlight. But look, I think was it was a good quarter, overall, from equity, free cash flow. I was cautious in terms of making sure you're happy in terms of forward-looking. What I did pull out and highlight a few items on a forward-looking basis on equity free cash flow, particularly spectrum in Q4, which is going to be a big uptick for us. We highlighted in June, in terms of full year perspective of higher spectrum costs this year, but particularly it's going to be pronounced in Q4 for us this year on the spectrum costs, as well and just paying for some of the items that we took - we booked here from a service perspective this quarter, as well as what we expect to be booking next quarter.
Operator: All right, thank you Andre.
Unidentified Analyst: Thank you. Again, sorry, once again for the camera.
Operator: No worries. Thank you, Andre. All right, so next, we'll take our last question from Fredrik Lithell from Handelsbanken. Fredrik, good to see you.
Fredrik Lithell: Good to see you. Thank you very much. Thank you for taking my questions as well. Maybe just a little bit of a housekeeping. Sheldon, you. I think you mentioned earlier about severance costs. Also in Q4, was that correctly understood? Or did we see a peak here in Q3 on severance costs? That's the first one really. The second is, is on the Everest one, two, and possibly number three, and enlargement of all sort of that project as well. I'm just curious to get an elaboration on how deep you can cut in cost, before it starts to hamper your ability to push growth. At the same time, I'm just curious how you balance that going forward. So you don't get four scores on customer care, or you're not setting up the next base station, whatever it might be, I'm just curious to have a sort of reasoning around that balance would be interesting to hear.
Mauricio Ramos: Yes, I'll start with a second one, obviously, Fredrik will be very, very careful. Very, very consensus. And obviously, we start with the areas that are less revenue generated and protect those definitely as part of the process. So you can rest assure that we are surgical in our approach, but everything gets reviewed with a payback analysis. And then we certainly protect the areas that are long-term revenue generating as part of the process. But there is room to be more and more efficient. The ambition on Everest was always significantly high. And we're emboldened and supported by our new largest shareholder to take that opportunity. And as we've been discussing some of the markets that are part of the question. We should also highlight that part of the reason why we see a path to better control in many of those markets, is because we see efficiencies, significant efficiencies there at all levels, as well. So that's the full answer to your question. Sheldon?
Sheldon Bruha: Yes, I would say I mean, in addition to that Fredrik, I think for this cost, we're trying to take complexity out of the business, and as application, which I think quite frankly, it can be beneficial from a customer perspective, as well as fewer product offerings, fewer complications in terms of how they interact with us, et cetera. So, some of the cost saving they are actually hopefully, you'll be, I would expect the beneficial as well to the top line not just to, sort of cut. If you're trying to push us towards that we're cutting and muscle out of the business. And quite frankly, as we're trying to improve the way we operate as a company. In terms of additional severance costs I mean, yes, we're going as I alluded to it we are going through our budgeting process right now. And we've taken the actions of the headquarters this quarter in terms of the space to, we're finalizing our plans for the country we see here, as we finalize the budgeting, and there will be charges here in Q4, related to that. We're not, going to give you the size and guide for that at this point in time, there will be 10s of millions of dollars of severance costs I would expect in Q4. And we'll be giving you much more color on that once we complete our budgeting process here - and the full year results in February.
Fredrik Lithell: Perfect, thank you very much.
Mauricio Ramos: And consistent with that project, you should assume that the 135 million number will also increase commensurately.
Fredrik Lithell: Right. Thank you, Mauricio.
Operator: All right. Okay, thank you very much, Fredrik. So I think that wraps up the Q&A session. Mauricio, back to you.
Mauricio Ramos: Yes, just want to give you the 32nd wrap ups to make sure that the big points are clear. And they should be pretty obvious on our call today, Colombia is going well and it's improving its profitability very quickly. It is now better capitalized. And we have received approval for merging our mobile network and spectrum positions in Colombia. Tons of work in Colombia, and that work is in progress. But we made a lot of progress this quarter, and we're heading in the right direction, as we alluded during the call with a clear objective ahead of us. In Guatemala, as you have heard of us for a number of quarters our market leadership has been sustained, spectrum positions have now been equalized. So, we no longer have a spectrum or a level of disadvantage, and we're putting that to use. And there are initial signs of a healthy environment as to some price increases in prepaid in mid-September. So as I said, we're cautiously optimistic in Guatemala. And as you heard our cost savings and our ambitions on efficiency have been increased with a broader phase 2 to a project Everest. And most importantly, all of these efforts are aimed at a single thing which we have alluded to before. And that is to make 2024 the year of our strongest natural delivery. So hopefully those points are clear. And thank you for joining us today.
Sheldon Bruha: Thank you.